Operator: Good day and welcome to the Avid Technology’s Inc. Fourth Quarter 2016 Earnings Release Conference Call. As a reminder, today's conference is being recorded. At this time, I’d like to turn the conference over to Robert Roose, Director of Investor Relations. Please go ahead sir.
Robert Roose: Good evening. I'm Robert Roose, Director of Investor Relations at Avid Technology. Welcome to our Q4 2016 earnings call. With me today are Louis Hernandez, Jr., Avid's Chairman and Chief Executive Officer, Brian Agle, Avid’s Senior Vice President and Chief Financial Officer. On our call today, we will be using both non-GAAP measures and certain operational metrics, both of which are defined in our Form 8-K and supplemental financial and operational datasheet available on our Investor Relations webpage. These non-GAAP measures are also reconciled with GAAP measures in the slide deck that accompanies this call, the tables to our press release and in the supplemental financial and operational datasheet. I would also like to remind you that certain statements made on this call are considered forward-looking statements within the meaning of the securities laws such as, for example, statements about expected future operating results and financial performance and the progress of our transformation. Forward-looking statements are inherently uncertain, not guarantees of future performance and are subject to certain risks and uncertainties that could cause actual results to differ materially from our historical experience and our present expectations or projections. Any forward-looking information relayed on this call speaks only as of this date and we undertake no obligation to update the information, except as required by law. For additional information, including a discussion of some of the key risks and uncertainties associated with these forward-looking statements, please see the forward-looking statements section of our press release issued today as well as the Risk Factors and forward-looking statements sections of our 2016 Annual Report on Form 10-K available from the SEC, the Avid Technology website, and our Investor Relations department. We've also added a supplemental presentation in an effort to complement today's narrative. We hope that you will find it helpful. We will be recording today's call, which will be made available for a two-week replay. You may replay this conference call and access the supplemental presentations by going on the Investor Relations page of our website and clicking the Events & Presentations tab. Later, we will be conducting a question-and-answer session and instructions will be given at that time. And now I’d like to turn the call over to our Chairman, and Chief Executive Officer, Louis Hernandez, Jr. Louis?
Louis Hernandez: Thank you, Robert. Hello everyone. I’d like to first thank everyone for their patience on the timing of our earnings release. We planned to hold this call last week until we learned it hours before the call that our new auditors were still finishing routine procedures to complete the 2016 audit. We could have proceeded with the call however added with abundance of caution, we felt that it was more prudent to wait until all the numbers were final. These final procedures now have been completed there were no changes to the results and we filed our Form 10-K yesterday. Let me now provide you a summary of our results. If you could turn to Page 6 of the presentation. We met or exceeded our guidance on all financial metrics bookings, non-GAAP revenue, and adjusted free cash flow were inline and above the mid-point of the guidance range. Non-GAAP operating expenses and adjusted EBITDA were above the high-end of guidance. Bookings increased 42% sequentially on a constant currency basis and produced advances in all customer cares and all geographies. We were able to deliver positive adjusted free cash flow for the quarter. Last quarter we delivered, we discussed several areas of focus that would drive performance here in Q4 and I will provide you an update on these areas that we discussed on the last call. The performance of our storage applications improved driven by NEXIS our new award winning software defined storage platform. That benefited from the release of the key enterprise features that was issued at the end of Q3. And this showed adoption of our enterprise clients and led to a rebound to our storage business overall. Orad related applications improved to levels close to their historical run rate reflecting the initial actions we've taken to address the challenges related to logistics and sales training. We also continued to see strong growth in our cloud enabled subscriptions and digital sales. We have tractions on the enterprise deals that we talked about in Q4 with several important enterprise announcements including the global enterprise and cloud agreement with Al Jazeera. We continued execution of our efficiency program, which drove non-GAAP operating expenses down by 30% contributing to improved adjusted EBITDA and adjusted free cash flow. Now we believe these trends in the quarter, begin to reveal a core financial model that is improving significantly as we near the end of our transformation. As our results have been challenging to interpret during the transformation due to significant changes to the core business model and the impact of the pre-2011 amortization and the elimination of the implied PCS revenue. These transformative changes are wrapping up and the impact of this revenue accounting has been declining ultimately becoming de minimis after Q2 of 2017. If you adjust out the impact of the pre-2011 amortization and the elimination of the implied PCS revenue, our revenue grew by $9.4 million in 2016 and our Q4 adjusted EBITDA was up $16.9 million year-over-year and $9.4 million sequentially. Along with the adjusted free cash flow, which improved $4.6 million sequentially. Also adding to our revenue visibility in 2017, the current year is the increasing shift to recurring revenue and the $429 million of deferred revenue and committed backlog. Now the transformation will be declared complete after Q2 2017 as planned. And we will be transitioning to the next phase with a clear and more predictable financial model as outlined in our guidance. We’ve also had the benefit of greater financial flexibility having updated our agreement with the noteholder that you may have read about a couple of days ago. We've been laying the foundation of our next phase of growth by increasing our investment in cloud enabled applications and striking important commercial and technology partnerships including the Jetsen agreement, which I'll review with you shortly. We’ve also enhanced our organizational structure and management team as we prepare for the next phase. Lets turn now to Page 7. I'd like to take a moment to discuss our storage application, because it was a significant driver of our sequential bookings growth this quarter and the new NEXIS platform is a key piece of the final product strategy for Avid Everywhere which allows clients to fully leverage the platform and was the basis for this product transformation. Now as you remember NEXIS is an award winning first and only software defined storage platform, specifically designed for storing and managing media. And in fact I just left Dubai where we are yet one another award for CABSAT for NEXIS. This NEXIS product allows customers to be hardware agnostic over time, it is substantially more powerful in terms of capacity, density, and price. And provides a secure cloud option. NEXIS adoption by enterprise customers drove storage bookings up 50% in the quarter. And while this surge is a strong signal of market acceptance, we still believe there's still pent up demand and headroom available over time. NEXIS has been adopted by several of the world's leading media companies since the rollout began. This quarter we were pleased to see many installations and expansions including by AMC Networks and the Church of Jesus Christ of Latter-Day Saints. As I mentioned last quarter our rollout of NEXIS had an unintended consequence of freezing the enterprise market where we initially launched the product with capabilities targeted to the non-enterprise clients. While that was happening to our enterprise customers, which have historically been large and consistent purchases of storage chose to defer purchases until the enterprise NEXIS version was available. That offering was released in September of 2016, the very end of last quarter and we're now seeing the adoption from that enterprise segment. Now as we head into 2017, we're focused on driving continued adoption of NEXIS by enterprise customers, and while we're optimistic about the growth in this segment the enterprise market remains volatile and storage is typically included in these large enterprise deals. We're also very excited about the emerging opportunities of the NEXIS applications open-architecture provides. We are now able to target new customer segments, because NEXIS can operate with third party products. A key example is that we have integrated Adobe Premier and Apple Final Cut editorial products on the NEXIS platforms, so that customers using those third party applications can experience the same efficiencies and collaboration from NEXIS that they could if they were using an Avid Editor. This is something that wasn't possible before and is only possible due to the unique openness and flexibility of Avid MediaCentral and NEXIS. And finally we are preparing for the launch of NEXIS in the cloud. We look forward to sharing more exciting news about this at our annual customer event, Avid Connect 2017 in April in Las Vegas. You will hear more about that in just a moment. Let’s turn on now to the next page. Now also during the quarter we have continued traction on key elements of the product strategy that has been part of this transformation. And this is an update to some of the metrics that we’ve been tracking since the beginning of the transformation. We saw continued, strong platform adoption with 29% growth year-over-year. This is an important vehicle to cross selling and growing customer wallet share and is also the basis for many of the enterprise deals that we have signed and are negotiating. Cloud-enabled subscriptions and digital sales continued to surge. Paying subscribers were up 2.4x and digital sales were up 27%. We had more than 10,000 paying cloud-enable subscribers that we added during the quarter, that's our largest quarterly increase to date. This is an important this is important area of high growth that's beginning to reach meaningful scale. In fact, if you combine the annual bookings related to digital and cloud-enable subscriptions, based on the current run rate, this represents a double-digit percentage of our overall business and over $40 million dollars run rate. Also, recurring revenue bookings adds to increase visibility. Recurring revenues bookings were 45% of total bookings for the quarter. And remember where we started, we've grown the percentage of recurring revenue bookings from about 13% before the transformation now to the mid-40s or higher depending on the quarter. And we've also continued to deliver on our efficiency program. We executed more than the planned $76 million savings in 2016 and this gives us confidence that we’ll be able to complete the additional greater than $30 million targeted for this year. Now the efficiencies drove non-GAAP operating expenses down 30% year-over-year, which contributed to the strong adjusted EBITDA and the adjusted free cash flow for the quarter. I want to now turn to the next page. By combining the best and most comprehensive set of applications across the media workflow, and the most open and integrated platform in the industry, with flexible deployment pricing and price pricing options, we are able to create a new type of sales for Avid. This is a larger enterprise sale that includes Avid’s MediaCentral and multiple applications bundled and delivered to provide superior value to the client. Something it's difficult for any single vendor in the industry to match. Now we've signed several key deals but the timing of the deals remains hard to predict. And as we're formalizing enterprise pricing, our processes, our sales organization, modifications, our delivery organizations, they should become more predictable part of our business. However, that may take several quarters. Now I mentioned earlier we closed a large enterprise deal with Al Jazeera. It’s an exciting deal, I just met with them out in Dubai, it's a multi-year, multimillion dollar enterprise global services agreement. We agreed upon a framework that facilitates future deployments to standardize MediaCentral in applications across the global organization for Al Jazeera. And initiatives where we collaborate on developing the industry-leading cloud-based newsroom workflows to take major steps towards moving a global news organization to operating entirely in the cloud. You know what I think is important about this relationship is, Al Jazeera has been a customer of Avid for more than 10 years and they've bought a lot of solutions from us over time. This agreement, however, represents a new level of commitment. And we believe that it's further proof that the industry's leading global media companies recognize the power of our strategy enough to expand on their heritage relationships with large multi-year agreements that address their core business problems. If you think about what's happening here, multiple continents of Al Jazeera’s operation will be running on a single, centralized platform, MediaCentral, which is the heart and soul of the Avid Everywhere strategy. It's pretty exciting. Now other examples of enterprise agreement signed this quarter, including deals with DHX Media and FotoKem, these are examples of continued enterprise deals from long-term customers. DHX Media is the owner and producer of some of the world's most loved and matched, watched children's programming. This multi-year enterprise agreement is intended to allow the DHX to access advanced technologies more efficiently across multiple media facilities, with many of Avid's applications, including of course NEXIS Shared Storage, which is part of that deal. FotoKem is a leading film and video post production facility headquartered very near our offices in Burbank and if you're in the Hollywood area FotoKem is very well known to you if you're in the media business. And to future-proof its facilities and the performance capacity needed to accommodate high resolution projects, FotoKem has upgraded its entire end-to-end workflow with Avid, including of course its indexes storage and editorial systems. It also includes sound mixing control services and gives example of how it's all integrated onto a common platform. Let's turn to the next page. Moving now to Slide 10. And you may have heard about the partnership we recently announced with Jetsen from Dubai I flew out to Beijing where I am now, we've been having a series of events here with Jetsen promoting the partnership that you might have read about not too long ago. I think this is another example of a longstanding partner of Avid, in this case, one of the fastest growing and most forward-thinking solution providers in China. The publicly listed on the Shenzhen Stock Exchange with about a $3.7 billion market cap. And what they've done is they've decided to step up their investment much like Al-Jazeera we’ve been with for a long time and more strategically commit to Avid. After ten years of our reseller because they believe in the power of what we're doing and the opportunity of Avid Everywhere in the Greater China market and the excitement over what we've demonstrated in the cloud, we've executed this long-term partnership. And to recap for those of you who didn't hear it initially, Jetsen has committed to minimums for bookings in cash payments that guarantee $76 million over three years and includes a 15% annual growth rate. The partnership will facilitate greater access of course to major media companies in China and accelerate our cloud strategy, which is allowing Avid to reduce its cost structure in the region. And this strip here that I'm on is a good example, the first day we had every one of the major state broadcasters, and CCTV, the major government broadcaster in a room celebrating this partnership and it was all put on by Jetsen. Now the team and I, this week as I said, have a series of these industry events much like I've described and client meetings up until early next week. Jetsen is clearly investing to not only meet, but exceed together us the minimums hopefully. Jetson has also agreed as part of this arrangement to make $18 million strategic equity investment in Avid, which is especially close by the end of Q2 and includes a delayed pricing mechanism limiting dilution of our stock price if it rises. The five-year relationship $76 million of guaranteed bookings over the first three years and $18 million equity investment, mark a significant investment from a regional partner and we believe further demonstrate what's possible for growth post transformation. Now before turning the call over to Brian, on Slide 11 if you can focus on a slide with me, I'd like to provide an update on the transformation itself. Those of you who have been with us since then, and since I joined and the team joined, know that since the beginning we have said that the transformation would end in Q2 2017. For over three years we've been repeating the same timeline as we closed offices, as we launched new products and hired a transition over half our staff and all the other changes that we went through and of course the nine-year restatement that we had to go through, as well. And the only difference about those periods when I talked about the ending is that Q2 2017 is actually next quarter. And we are on target to complete what we had hoped. And as you know we have defined the transformation with three events. And if you look at those events they were at the top of this page, the defining events. We said that we would mark the conclusion when we rolled-off of the non-marketed products which had been completed. We said that when we completed the efficiency programs which we have now exceeded $76 million target in 2016, are now executing on the greater than $30 million of additional savings. And we said also at the end of the pre-2011 revenue amortization, as well as the elimination of implied PCS, which is substantially complete by the end of 2016. Now in tandem, we’ve added these other two work streams that we've been tracking operationally. And these defining events include completing the ambitious product strategy which launch of Avid MediaCentral, the investing in the best and most comprehensive suite of proprietary and certified products that we've been building out to have a more complete offering and to gain wallet share. And finally, we want to be able to offer flexible deployment and pricing options, including cloud-enabled enterprise pricing, something we didn't have before when we started this whole process. And all this contributes in the final work stream on the bottom of Page 11 to an emerging economic model one that is clear, more predictable, more scalable and more profitable, with the typical rate of cash conversion. I'm happy to say, we believe we will be able to announce after Q2 that we have completed and successfully transition the company to represent these three work streams. And with that, I’d now like to turn the call over to Brian to review our financial results and guidance in more detail. Brian?
Brian Agle: Thank you, Louis and good afternoon everyone. First let me apologize for the postponement of our conference call last Wednesday. We realized that it was an inconvenience to many of you who’ve joined the call today. The delay was not planned but became necessary. We simply chose to proceed with an abundance of caution. In hindsight, we could have gone forward with the call but we are comfortable with the decision we made. As you know, Avid’s financials are complicated our auditor was conducting their first full year audit and we were not able to finalize normal and routine audit procedures in a timely manner. We appreciate our auditors’ efforts over the last few months in completing the audit. Now I look forward to further discussing the financials and guidance that we have released. We had a strong finish to the year, meeting or exceeding our guidance on all metrics this quarter. In particular, adjusted EBITDA and non-GAAP operating expenses were favorable to our guidance. Bookings revenue and adjusted free cash flow fell within guidance range. Let's move to Slide 14 to discuss the Q4 results in more detail. Please note in today's presentation all numbers that I discussed will be non-GAAP numbers unless specified. For a reconciliation of GAAP to non-GAAP, please refer to the schedule found at the back of the presentation. We showed a sequential growth in bookings adjusted EBITDA and adjusted free cash flow. Total bookings on a constant currency basis were $134.5 million, up 42% sequentially and down 33% year-over-year. You'll recall we had a large booking with Sinclair in the fourth quarter of 2015. On an as reported basis, bookings were $125.3 million up 40% sequentially and down 35% year-over-year. We were pleased to see a recovery in bookings with solid sequential growth across product categories, all three major group geographies and customer tiers. Non-GAAP revenue was $115.3 million for the fourth quarter down 3% sequentially and down 17% year-over-year, excluding the impact of the pre-2011 revenue amortization and the elimination of implied post-contract support or PCS revenue was up 3% sequentially. Our non-GAAP gross margin as a percentage of revenue was 61.9%, which is up 110 basis points year-over-year and down 320 basis points sequentially. If you normalize for the impact of pre-2011 revenue amortization, our gross margin as a percentage of revenue improved by 350 basis points year-over-year, which is indicative of our trending product mix. Non-GAAP operating expenses for the quarter were $50.1 million, which is favorable to our guidance range of $56 million to $62 million. Our non-GAAP operating expenses decreased $21.2 million year-over-year or 30% and $8.3 million sequentially down 14%. This is primarily due to the benefit of our cost efficiency program. In addition, please note that the Q4 operating expenses included favorable items of $2.4 million attributable to unrealized foreign currency transaction gains from the revaluation of our balance sheet and lower amounts of accrual for variable competition programs both year-over-year and sequentially. Adjusted EBITDA of $25.2 million also came in well ahead of our guidance range for the quarter and increased both year-over-year and sequentially. While we continue to see the impact of the pre-2011 revenue amortization and the elimination of implied PCS. Our cost efficiency efforts more than offset the impact on adjusted EBITDA. Excluding the impact of the pre-2011 revenue amortization and the elimination of implied PCS, our adjusted EBITDA was up over 835% year-over-year and improved 170% sequentially. Adjusted free cash flow was $2 million ahead of the midpoint of our guidance range and down 14% year-over-year. The sequential improvement was largely driven by lower spending. We expect to be cash flow positive in 2017. Let me move to providing some more color on Q4 bookings. We were pleased to see strong sequential growth in our products. On a sequential basis, storage product – excuse me, storage bookings increased 50% and Orad related products and services grew 44%. This improved performance is encouraging and we will continue to focus on execution of these areas of opportunity for future growth. The digital business delivered strong year-over-year growth of 27% and sequential growth of over 46% with continued growth in cloud-enabled subscribers. We had more than 60,000 paying subscribers at the end of Q4 up 2.4 times from a year earlier. This is the largest quarterly paid subscriber increase in our history. We also saw the impact of some meaningful enterprise customer deals in Q4 that contributed to bookings, including Al Jazeera as Louis mentioned. Our transition to recurring revenue model allowing for greater revenue visibility saw increased traction in Q4. The percentage of recurring revenue bookings to total bookings increased sequentially from 39% to 45% of total bookings. Now on to Slide 16. From an operational perspective, we completed the execution of our original $76 million annualized savings goal, which was calculated off to Q3 2015 run rate. As discussed on our Q3 earnings call, we have identified $30 million of savings in 2017. As a reminder, an important goal of our transformation is to create a leaner more scalable cost structure. As we continue to expand the scale of the development platform, it enables more opportunities for talent alignment, facilities rationalization and improved product profitability. The chart illustrates that our Q4 operating expense positions us well as we move into 2017. Please note as I mentioned earlier, the fourth quarter did benefit from unrealized foreign currency transaction gains and a relatively low accrual for 2016 variable compensation programs. Moving to 17 now, I'd like to provide you with a summary of our 2016 full year results. Non-GAAP revenue for 2016 was $512.5 million up 1% year-over-year, excluding the impact of pre-2011 revenue and the elimination of implied PCS revenue was up $9.4 million or 2%. Non-GAAP gross margin up 66.6% increased 460 basis points from the last year, which represents strong performance driven by revenue recognized related to the elimination of PCS, a mix of higher margin products and the benefit of our cost efficiency programs that we executed upon throughout the year. Non-GAAP operating expenses for 2016 were $240.7 million, a decline of $31.7 million year-over-year and reflects our cost efficiency efforts. Finally, 2016 adjusted EBITDA was $116 million, an increase of $60.9 million or 110% year-on-year improvement excluding the impact of pre-2011 revenue and the elimination of implied PCS. Adjusted EBITDA increased $64.2 million, adjusted EBITDA improved with and without the impact of pre-2011 revenue and the elimination of implied PCS. Turning now to the balance sheet on Slide 18. At the end of Q4, we had total liquidity of $50 million, including $44.9 million of cash and $5 million undrawn revolver. Our accounts receivable balance was $43.5 million on December 31, 2016, which was up from the third quarter by $2.7 million. Days sales outstanding or DSO was 34 days at the end of the quarter. The inventory was down by $4.9 million to $50.7 million sequentially with an inventory turn ratio of 3.3 times. The sequential decline in inventory was related to an increase in product shipments during the quarter, which included our NEXIS product line. Our deferred revenue was down consistent with our revenue amortization and our off-balance sheet backlog was $203.6 million, up $6.5 million sequentially reflecting enterprise deals in the fourth quarter. On a year-over-year basis, our off-balance sheet backlog is flat. We define off-balance sheet backlog as firm customer orders we have yet to ship, fulfill or invoice. The combination of deferred revenue and backlog is $429.3 million as of 12/31/2016. This provides us with greater visibility into our 2017 revenue. Long-term debt at the end of Q4 was at $189 million. Please note, we are comfortable and in compliance with our bank covenants. I'd like to now provide an update on the amendment to our loan agreement. Earlier this week we announced an amendment to our finance agreement with Cerberus, which provided more favorable leverage ratio requirements for future periods; beginning the quarter, ending June 30, 2017, and extending to the final year of the agreement. The updated schedule of leverage ratios more accurately reflects the impact related to the elimination of PCS. Additionally, we agreed to expand the aggregate amount of allowable one-time charges incurred after February 26, 2016, including restructuring activities and other non-recurring costs from $28.1 million to $38 million. Finally, the agreement acknowledged that proceeds from equity sale transactions may be retained on Avid’s balance sheet in the form of cash. We are pleased to work with Cerberus on signing this amendment to our financing agreement. As our financing partner, they responded to our request and demonstrated support for Avid as we complete the transformation and deliver a clear, more predictable, and profitable financial model. On Slide 20 we have presented our Q1 2017 financial guidance. For the first quarter, we expect bookings on a constant currency basis to be between $162 million to $176 million, and on a reported basis to be between $154 million to $168 million. This guidance includes $76 million in bookings related to the China Jetsen partnership. We are guiding non-GAAP revenue for Q1 to be in the range of $100 million to $110 million and non-GAAP operating expenses will be $54 million to $58 million. Adjusted EBITDA is expected to be in the range of $8 million to $14 million. Adjusted free cash flow to be in the range of negative $2 million to positive $6 million as we move to a more normalized cash conversion of adjusted EBITDA. For the full year of 2017, as our financial model becomes significantly less impacted by the pre-2011 revenue amortization, the elimination of PCS we expect the following. Non-GAAP revenue will be in the range of $405 million to $435 million. Non-GAAP operating expense guidance is $205 million to $220 million and adjusted EBITDA guidance is $45 million to $55 million. Adjusted free cash flow will be in the range of $7 million to $20 million. You will note that we did not provide an annual bookings range for 2017. During 2017 we plan to provide quarterly bookings guidance. Given that revenue is less impacted by pre-2011 revenue amortization and elimination of PCS, we believe non-GAAP revenue is now a more meaningful metric indicative of our sales performance. In conclusion, we believe Avid is well positioned to move into our growth phase as we focus on our core customer base, new growth segments and leveraging the cloud to deliver enterprise-wide deployments in cloud-enabled subscriptions to our customers. I'll now turn it back to Louis for some closing remarks.
Louis Hernandez: Thank you, Brian. On page 23, I'd like to briefly remind everybody of our strategy before spending just a few minutes on our transition to Avid’s next phase of growth. Now over three years ago we launched a vision for Avid Everywhere. A single global collaborative ecosystem shared by anyone who wants to participate in any part of the media chain through a common platform with share tools. And this was a pretty dramatic departure and expansion from the primarily creative tools that the company had started with, but it had this incredible brand and distribution over 140 countries. The goal is to combine the best and most comprehensive set of creative and workflow tools in the industry. Combine that with the most open and extensible – efficient platform in the world that the industry had not experienced before. With flexible deployment options either on premise, private or public cloud and payment options like license which is what we had before that now subscriptions and enterprise options. To allow the industry this whole thing was designed to solve the problems that we had heard about from our customers when we first joined. In the process, it would allow Avid then to leverage its brand and distribution to expand its addressable market by being able to package solutions to different tiers, different geographies and different segments. As a result, we would create new revenue streams and lower our delivery and operational model to drive greater profits in cash flow. And I know those of you met us have heard the long version of that explanation of our strategy. Now as we complete the final refinements of this transformation, this model and its benefits are starting to be revealed and we think they'll become more visible in the coming quarters. Now if you turn to page 24, as we enter 2017 we're really focused on completing the transformation. We wanted no disruption to be able to complete in Q2 as we had targeted. I'm excited at the prospect, believe me, of declaring the conclusion just next quarter and sharing the product and technology achievements at Avid Connect and NAB, which will punctuate the completion of that original product vision. Now at the same time we're preparing for the next phase here at Avid. This would be a phase which will focus on aggressive selling and marketing to drive adoption to what we have created on a larger scale in all segments. You can see the completed transformation on Slide 24 in the upper-left, some of the things we've been talking about, and then preparing for the growth include some of the strategic initiatives that I've defined a new sales model, the go-to-market, preparing for the cloud to expand on the cloud offerings we have today, and really completing this long journey of the cloud shifting through this aggressive commercial and selling focus with customer centric operational excellence, and these are some of the areas that we've been targeting. As we turn to page 25, as part of the Avid Everywhere strategy, you may recall that we wanted to have a deeper connection with what we thought was a preeminent client community and user community, and that's where we first formed the Avid Customer Association. Some of you have – may have attended our first event, where we had a few hundred people. This has now grown from a standing start to over 8,500 members today. This community meets throughout the year and then gathers for Avid Connect, our annual customer event. This year at Avid Connect 2017 we are excited to share some important announcements related to our cloud-enabled growth strategy, including new partnerships and product innovations around the cloud. Now we believe that these products will punctuate the strategy and the journey we’ve been on through this transformation. And many of you asked about this event, and so we do encourage investors and analysts to join us for Avid Connect 2017. It's held on the weekend just before NAB, this is April 22 and 23 in Las Vegas. I encourage you to come. And for more information, please contact Robert Roose in Investor Relations and you can find his contact information in today's press release and on the Investor Relations website. Let's turn to the wrap up slide here page 26 so I can recap the highlights of Q4. First we met or exceeded guidance on all metrics; 42% sequential current bookings growth, constant currency bookings growth, positive adjusted free cash flow in the quarter up $4.6 million sequentially. The performance was driven by strong execution and some of the key focus areas that we talked about. We saw rebound in storage and improvement in Orad, continued growth in cloud and digital and traction with enterprise deals. We also continue to execute on the efficiency program, which drove significant reduction, operating expenses and improved adjusted EBITDA and free cash flow achievement. With the continued reduction in the revenue impact related to the pre-2011 amortization and the elimination of implied PCS, it's becoming clear that our core financial model is improving dramatically. We are confident that we’ll complete the transformation on schedule in Q2 2017. And as you heard us, preparations are underway for the shift to the next phase. I hope you can join us to hear more at Avid Connect in Las Vegas 2017. And with that operator, I'd like to entertain questions.
Operator: Thank you. [Operator Instructions] We will take the first question from Hamed Khorsand with BWS Financial.
Hamed Khorsand: Hi. Just a couple of questions. I was trying to understand as far as the years for private numbers especially the paying drivers in the quarter. How much of that increase was led to enterprise licenses? How much of that was led to year – end of year lot of price points?
Louis Hernandez: I couldn’t hear completely, but I think you are asking how much of the subscriber growth had to deal with conversion of prior license subscribers and then the end of year marketing push I think is what you said. Let me restate the question could you what is the composition? What is the reason for the subscriber growth? And the most interesting thing about our subscription growth in a digital sales on subscribers a vast majority comes from brand new customers to have it. So these are coming from competitive situations. They are not folks converting over from a license. One of the most effective tools we have seen you is the first product, which you may recall. This is where we have a free version of our creative tools, particularly on Pro Tools, which is than longer. The conversion rate of the free users to a paid subscription is much higher than industry averages. And that has been the primary driver of the subscription growth much more significant than any license upgrades that we used to do on an ongoing basis. The digital sales equally were impacted by simply pricing and packaging the product in delivering at in a way that simply we're not available before we completed Avid everywhere. So most of the subscribers are net new subscribers and as you heard from the numbers, we're experiencing a acceleration in the number of folks who are adopting the subscription cloud option. Brian, you want to add anything to that answer?
Brian Agle: Yes, I'll just – I like your comments. And just for some specific information data here. More of the enterprise folks, the media center licenses year-over-year we went from 33,000 to 42,700 and more for our Tier 3 folks, we went from 25,000 to 60,000.
Hamed Khorsand: And then what I was trying get to was that during the holiday period you have a promotion that goes on where its low rate versus the $49.99. So I'm just trying to access how much your paying subscribers for 60,700 or in that lower price point and how do you keep them engage once the promotion end of the year. I mean you have to built on the same price I guess, right.
Brian Agle: Yes.
Louis Hernandez: I think the big reason, I think as you look at why we've seen such a search in subscribers and why the net new is that, first of all, many people didn’t believe they can get the product who was to do 10 of the top 10 films last year and every Grammy nomination for a low monthly fee except we wasn’t available. So the price elasticity we've noticed hasn’t come into play and while we did launch a promotion during their holidays and trying to do everyone so that provide their loved ones subscriptions. The real issue is that they have the capability of getting the best tool in the world for low monthly fee. If you look at Pro Tools, which is what droves initially the subscriber base and continue to be very strong. One of the most important features of Cloud Collaboration, so you and I can be on different parts of world, I'm sitting here in a hotel room in Beijing right now. And you which we've demonstrated everyone of our creators can be where you are. And I can invite you to attract those video check capabilities. We can work everywhere in the same studio. And there is a app store that has a pop up capability if you're working on different apps. So that are sounded the same reduce your mix down later. So the ability through the Artist community connect with anybody around the world work on the world's leading tool in the world and collaborate consistently as what is keeping our users from departing our churn rate is extremely low and our conversion rates from the free version is well above any industry average. And so while pricing I would helps the real thing that retaining that client base is the ability to get the best product and deliver services you simply can’t get someone else.
Hamed Khorsand: Okay. And then turning to the financial and cash balance, reading through the amendment it sounded like that there is going to be certain charges coming around with the efficiency program this quarter. How much of that is actual cash that’s going to be charge in the quarter?
Louis Hernandez: Brian, if you're in the team would like to take that one.
Brian Agle: Yes. So the question is what are the restructuring charges that we're going to incur in Q1?
Hamed Khorsand: Yes. As far as cash is concern just the cash charges.
Brian Agle: From a cash standpoint, it's right around $4 million in Q1.
Hamed Khorsand: Okay. And I guess you are subtracting that from the free cash flow guidance you are providing.
Brian Agle: That’s actually excluded from the free cash flow.
Hamed Khorsand: Exactly, okay. All right. And then if I look at what you are reporting for Q1, and look for annual number, its sounds like are you going to have a serial downturn in Q2, are we going to make a more broader, are we going to see typical seasonality as far as your free cash flow is concerned.
Louis Hernandez: We're striving to have a more level cash flow through 2017.
Hamed Khorsand: You are reporting a lot more enterprise sales in Q1 though, right. So how come – how could you compensate for that?
Louis Hernandez: So to compensate, it’s a mix of course bookings and the related receivables along with our expense run rates.
Hamed Khorsand: Okay. All right, thank you.
Louis Hernandez: Thank you.
Operator: We'll go next to Steven Frankel with Dougherty & Company.
Steven Frankel: Yes. So let's start your Q1 bookings if you subtract our Jetson are down around 8%. When do you think you get the business to a point where bookings they start to grow again?
Louis Hernandez: So Steve, I assume that your math is on the bottom, end of our guidance range. Is that correct?
Steven Frankel: Took the midpoint, took the midpoint to get $76 million and look likes it's down around 8% year-on-year.
Louis Hernandez: You probably need to back out some of the China that happened in Q1 of the previous year. So let's make it an apples and apples. So I would be cautious on that math, because Jetson is our China business, so if you – as you compare the numbers you would also need to exclude the China business on the number that you're comparing it to.
Steven Frankel: So…
Louis Hernandez: I would say this, let me suggest that as you look at year-over-year, the upper half of our range for Q1 bookings represents growth.
Steven Frankel: Okay. Maybe I guess going at this different way, because you – let's look at billings rather than revenue or bookings and billings seem to be falling at a faster rate and we're down like 18% in Q4 after being down less than that during the year. So another way of saying we'll exile the deferred revenue impact. What’s going on and when do you start to take some of these great products and turn those into growth in bookings?
Louis Hernandez: Let's hold on just, so Brian when you answer the question on billings. Bookings I think you heard for the analysis will show an increase. So we believe we're at that inflection point now, because again there were already China sales are bookings coming through, the $76 million included 15% growth rate. So it have to net that out to get instead of detecting the entire $76 million you would be detecting all of our China sales and comparing it to an orange. So that’s why you have to normalize that and I think you see we're at that inflection point now. In terms of billings which is a separate maybe you can find how you solve billings or if you reading that from the K, I'll let Brian answer that piece for bookings because at the end you said bookings again, bookings should be at that inflection point now. Go ahead, Brian.
Brian Agle: So Steve, let me on a billings – let me just touch on this. If you look at our Q1 bookings forecast obviously the billings trail from that even if you take the low end of our Q1 bookings guidance, year-over-year that’s a 65% increase. And so obviously, we'll see some downstream positive impact to our billings. Frankly, until we see exactly what type of billings, the mix of billings and bookings that come in. We’ll get a better feel for what those billings will be candidly over as we complete the quarter.
Steven Frankel: Okay. I’ll leave that one alone for now. The other backlog was only up about $6 million to $7 million sequentially and given the big sequential increase in bookings I would have thought that that number would have gone up more than that.
Louis Hernandez: Go ahead, Brian.
Brian Agle: Yes. So as I look at this. You’re right. The backlog from Q3 to Q4 has gone up $6 million. And when we look at deferred revenue we see – it’s a little challenging here, as I look at some numbers to see the pre-2011 in the – well, deferred revenue is down slightly given that we had good revenue recognition in Q4. So I think, as you look at the numbers you’re looking at the right set of numbers.
Steven Frankel: My question is, I think that other backlog is that’s like products. That’s real stuff not the burn off of deferred or PCS. And given the bookings number I would especially talk about our rebound in storage, I would have thought that that number would have been out more.
Louis Hernandez: Yes. So, a lot of that other backlog shipped and obviously it resides in deferred revenue.
Steven Frankel: Yes, but your deferred was down. The post 2010 was down. I see the key components not as up as much as I would have thought given the strength in bookings.
Brian Agle: Yes. So of course, the PCS – deferred revenue is down largely, because the PCS is draining out some of quickly.
Steven Frankel: What PCS run off is implied in your Q1 and 2017 guidance.
Brian Agle: So that’s a very minimal amount. So in Q1, it’s, the PCS actually I’ve got here with 2011. I believe it’s – I’m looking at a number here that I’m challenging – one minute please.
Louis Hernandez: Well he’s looking at up Steve, what, do we have another question.
Steven Frankel: Yes. So let me go on to the next one. Does the – what’s the margin profile of the other bucket of deferred that’s burning off the post-2010. Is that flows through with I think there’s one $136 million that flows through in 2017. What kind of margin is on that revenue?
Louis Hernandez: Brian?
Brian Agle: Yes, so Steve I apologize. Let me jump back to your earlier question and then I’ll answer this question. So on the elimination of PCS for Q1, it is in the $7 million range.
Steven Frankel: And what’s beyond that for the rest of the year.
Brian Agle: So beyond that, it’s – this is really where Q2 to Louis’s point, we see in Q2, generally ends. It’s about $4 million for the balance of the year.
Steven Frankel: $4 million for the balance of the year, okay. So there’s still a little more. And then, what we’re talking about adjustments. You gave a free cash flow number that’s got a bunch of adjustments to it that you haven’t laid out. And what will reported free cash flow look like. Will that be a positive number?
Brian Agle: Are you referring to 2017 or – I apologize. What period you referring to.
Steven Frankel: 2017. Let’s keep it simple and look at 2017. Your $7 million to $20 million kind of what adjustments, because you’ve got some restructuring and some other stuff maybe you could size for us what that other stuff is that’s going again – boosting up that number in 2017.
Brian Agle: Yes. So the range would allow the cash balance from beginning to end and this of course, excludes the $18 million from Jetsen for Q2. The cash balance would – and the liquidity would be flat based on that guidance.
Steven Frankel: Okay. Gross margins, just kind of come down I know they were up year-over-year, but they come down through the year adjusted for PCS and deferred. What steps are you taking to try to reverse that trend as we go into 2017?
Brian Agle: Of course, we’re trying to improve our gross margins. And you’re right, the PCS does impact that based on how that the benefit of the PCS revenue. But we’re simply looking at product mix. The more we’re looking at recurring revenue that’s a positive thing. And frankly, we’re also trying to really tighten up our inventory to make sure that the inventory revise, inventory we ship and it’s we don’t have much of write off on our inventory. That’s a big area.
Louis Hernandez: But I would add – I just wanted to add that, sorry. Once you finish the second part of questions Steve.
Steven Frankel: I was wondering how much is pricing a factor in that – adjusted gross margins have gone from 65% in the first quarter to 58% in the fourth quarter. Have you gotten more aggressive on pricing to lock up some of these enterprise deals and that’s what we’re seeing in these gross margin numbers.
Louis Hernandez: But you’re saying exed-out any of the and roughly – I mean the elimination of PCS.
Brian Agle: Right, I’m using your numbers exing out the PCS and exing out the pre-2011 deferred and just looking kind of at the ongoing business in your gross margins are down from 65% to 58% over the last four quarters.
Steven Frankel: What do you think a subscription margin should be for normal industry?
Louis Hernandez: It’s depends on…
Steven Frankel: What’s your range? What do you normally see from system based companies?
Brian Agle: I’ve seen some 60%s, I’ve seen some 70%s, it depends on the scale. And again, your subscription business is relatively small compared to the rest of the company. If you…
Louis Hernandez: It’s rolling pretty rapidly, it’s over double-digits now, and it’s about a $40 million from zero. But the reason I’m asking, and so if you took that change – that one change. And then think about what’s happening in these enterprise deals is we’re converting most of them from a CapEx to an OpEx model. So it’s not just the mix of product versus revenue, it’s also the way these deals are structured. As you know Sinclair, the first one that we did was spread evenly over the period with some escalators when they add new product. But this is the model and this is the big advantage we have. And so while, what Brian said is true we always like our margins to go up and there are some operational improvements like inventory management, which will continue to push. And one of those things, we’ve gotten out of many of the products that actually have inventory. That’s come down dramatically during this transformation. But having said that, it’s possible that we hover with scale close to the 60%-ish to 70%-ish, which is what I would expect for a normal recurring model. As you know, my last company was almost 90% recurring. And those were very comfortable and very attractive recurring models, because of the visibility and the cash that it generated. Here, we’re still in that transition however, because the subscriptions are growing and the enterprise deals most of which convert our clients from a CapEx to an OpEx, where they want to spread that, but as costs evenly throughout the period. It becomes a much more predictable model. That’s why the recurring may go up faster than we originally forecasted when you and I first talked three years ago, I said the governor could be as we add all these new products, you could see product revenue begin to accelerate and mute the recurring component. But because these enterprise deals are all shifting many of them – not all many of them to an OpEx model. It’s increasing our recurring revenues not because of more product sales, because we’re bundling more into an OpEx model. When you combined that with the subscriptions together it becomes more than the double-digit and that’s why the recurring revenue is to continuing to go up at a more rapid rate. How far that goes up I think has an impact on the margins that we would be comfortable with. So the margins you listed are for mature a larger companies, I think where we are – I would be very comfortable with these levels. If we started shifting a more dramatic amount and if you think about going into an enterprise deal throughout can bundle the array of products that we have. There is not one company. You name them to me. They can bundle from graphics to AR to VR to social media management, news release management, MAM systems, distribution systems, of course all of our creative tools, all the cloud offerings and storage and archive. And those are just – that’s still not the complete list. And so one of the big attractive things for these large enterprise deals is that we give them flexibility go from a CapEx to an OpEx and that includes more services and looks more like a services agreement, which will have a higher recurring element and could suppress the margins in exchange for visibility. And so those are some of the variables I think Steve that you would want to be monitoring for us. And the cash characteristics however should start to get back to normal – what you would normally see with a more recurring base model, where the converting at an over 50% as high as 70% rate.
Steven Frankel: Let me just try to get some clarity on subscription. So today, I think your reported subscription number $1,000, is $30 a month the right ASP to think about in that business or is it lower on average?
Louis Hernandez: Brian has to get, what we give out in terms of the ASP on average. Obviously the Media Composer is higher and Pro Tools slightly lower. There are some other components in there, little bit of servicing, it could some plug-ins you are buying from the app store which could spread as well. But, Brian do you…
Brian Agle: Yes. I would simply say, so we have the published pricing but we don’t issue the ASP.
Steven Frankel: Well. I guess what I’m getting at is – if my math is maybe it’s probably – my ASP is higher than what you’re hitting out that’s 4% of your business not the larger percentage, I keep here when you guys talk and that’s a $22 million annualized run rate off the Q4 number.
Louis Hernandez: I think what we were doing was talking about cloud-enabled subscriptions and digital sales both areas that were nascent when we first started when you add those up together its over $40 million, if you look at the run rate for Q4 that would represent over 10% of our total bookings.
Steven Frankel: So, the digital sales is basically like the whole software world that’s gone to direct download as opposed to somebody shipping somebody a disk and USB lock [ph] or anything?
Louis Hernandez: Yes. I think the key that we’re pointing to is that both our digital sales and subscriptions, subscriptions were non-existent, obviously but digital was nascent part of the business. And most of the combined $40 million is net new. So there’s a net new business that’s growing – that has become 10% of our business and is growing rapidly. And I guess that’s the point we thought investors would be interested in hearing about. In terms of the recurring, you’re right. You would take the subscription piece that’s enterprise that was structured as an OpEx model plus the subscriptions and that’s how you would get plus any maintenance, which has traditionally not going to huge part of our business. If we didn’t have high maintenance, maintenance that’s having growing up, but I think what’s probably a more powerful shift is setting these large enterprise deals that are acting like OpEx that shifted to recurring and those three elements would get you the recurring percentage of bookings.
Steven Frankel: And I just want to go last question. Your shift to – we’re only going to provide quarterly bookings guidance rather than annual yet, you did provide annual revenue guidance. So I guess I don’t quite understand the consistency there I would think because there’s got to be some bookings assumption baked into your annual revenue guidance?
Louis Hernandez: Yes. I think – go ahead Brian.
Brian Agle: No. I would just agree with you, Steve. We do have our estimates bookings embedded in that revenue target, in that revenue guidance.
Steven Frankel: So why not share those rather than kind of dropping them for one quarter at a time?
Louis Hernandez: I think as we look forward this year quarterly booking signs we think is appropriate and I think we’ll take it from there. I think ultimately given that the PCS and the pre-2011 is fading as we just discussed, our recognized revenue is more indicative of the metrics of our business.
Steven Frankel: Okay, and one last quick one. Maybe you can give us a little more detail on the new material weakness that was pointed out in the K.
Louis Hernandez: Brian, you can feel free to discuss that if you like.
Brian Agle: Yes. So as you’re probably aware from the 2015 10-K filing. We started the year with a number of material control weaknesses they were relic of our multi-year restatement. We completed about two years ago. We spent a considerable amount of time and effort in 2016 redesigning our control environment and implementing new controls to address these legacy weaknesses. So I’m happy to report that all but one of the previously reported material control weaknesses has been remediated and we believe we can address the final material control weaknesses shortly. So we feel very good about the progress that we’ve made.
Steven Frankel: Okay. And what about the new set. What’s your timetable for addressing those?
Brian Agle: Well, that one we think we’re addressing immediately. Frankly, we think we’ve addressed it. However, in terms of the full testing we’ll have to wait for the audit to be completed in 2017. But we feel very comfortable about the work we’ve done.
Steven Frankel: Okay. Thank you.
Louis Hernandez: Thanks, Steve.
Operator: And we’ll go next to Matt Galinko with Sidoti & Company.
Louis Hernandez: Hey, Matt.
Operator: Mr. Galinko we’re not hearing your voice.
Matt Galinko: Hey, can you hear me now?
Operator: Yes.
Louis Hernandez: We can hear you.
Matt Galinko: All right, appreciate it. So can you talk about maybe the mix for current bookings that are implicit in the guidance you’re providing for 2017, if you’re not going to break out your bookings guidance for the full year.
Louis Hernandez: Yes. So, I think the way you should think about it is we’ve got a trend here we expect that trend will continue. And obviously, well of course, we would like to see increased recurring revenue bookings. So we’ll look to further the trend that’s been put in place.
Matt Galinko: Okay. And is there any pushback from customers on shifting to the enterprise, or kind of recurring model or is there a still legacy component that’s going to continue to come in as more perpetual.
Louis Hernandez: I think it’s the opposite, Matt think about what’s happening. We recommend this pressure to increase content you need to make it available to more channels and devices. You need to optimize lifetime value and you want to net lower your costs and shift from more predictable both cost and cash structure. And so when you look at how you would do that, you would be talking to between 60 and 100 vendors mostly which would drive the majority of your media tech and among the 1,500 or so that you would evaluate. There’s only one place you can go. Where somebody can actually consolidate multiple components of your entire operation and when they hear that we can – so if you’re going to try to do this, you would have to line up all those vendors and get them to agree to similar returns, cash flow characteristics, conformation provisions et cetera. Once you get on MediaCentral, whatever products you have with us, we can transition those to a OpEx model, we could then add any licenses to replace your other vendors and shift those to the same thing with one contract. And while you’re added, if you have graphics augmented reality, virtual reality storage, sports enhancements, social media any of the other areas from vendors where you – they weren’t being kind of strategic vendors. You can really clean up both your operational work flows and meet your financial targets which are intense right now, because of the shift to digital and the economic uncertainty that provides. So I think the opposite, we have as you heard us talk about when we first started doing enterprise deals that were one of negotiations that were complicated. We have spent a lot of time and energy, working on, adding consistency and predictability. We’ve learned a lot from the 15 or so that we signed of all various sizes. When we launched at NAB the cloud-based offering which has been well documented but that’s coming, it will have to include full enterprise pricing out of the box that a sales person can go and negotiate on day one. And this is driven entirely by the client need to drive down total cost by putting more apps on a single platform that’s what it does to our enterprise pricing works. And spreading and shifting to an OpEx model for consistency. And I would say the opposite is happening is that we have had very strong endorsement in the site in about moving to this model and there is not another vendor. Every vendor can claim they have a platform for their piece of the workflow, a few can match the breath of offerings that we can step into. So when you start talking about bundling, we’re an enterprise OpEx model. You can through a single vendor control maybe 20%, 30%, 40%, 50% of your budget with a single vendor through an OpEx model drive down total cost and naturally increases what you’re paying to add it and it spreads it. But it lowers your total costs because you eliminate all the integration fees and the other third party vendors that you have. And that’s why the certifications are so important because you may have a couple that you think are best of breed which could be competitive to us and we can include those as well because it’s an open system. So as somebody who probably besides our global sales person meets with the most amount of customers on this topic, I think it’s the opposite and what’s they’ve been waiting for is a more a quicker more package way we can talk about the potential savings as move into this model.
Matt Galinko: Got it. All right, thank you.
Louis Hernandez: Sure, Matt.
Operator: And that concludes our question-and-answer session. I will now turn the call back to Robert Roose for any additional or closing remarks.
Robert Roose: Thank you, everyone for joining our call today. And we look forward to speaking with you soon and having you join us with Avid Connect 2017. Thank you.
Operator: And that concludes our conference for today. Thank you for your participation.